Operator: Welcome to the Medicover Q3 2025 Report Presentation. [Operator Instructions] Now I will hand the conference over to the speakers, CEO, John Stubbington; and CFO, Anand Patel. Please go ahead.
John Stubbington: Good morning, everybody. John here. Welcome to our Q3 report. And I'd like to start with thanking all of our people for producing a really good result. So thank you for all your hard work. Q1, I described as strong. Q2, I described as stronger. I think Q3, what we're seeing here is a really good, solid, consistent and healthy performance. If you look on the right-hand side, you can see growth is a good performance at 12.1%, especially when you consider that Hungary no longer is in these numbers. So that's quite a pleasing position for us. If you look at EBITDA, it's very respectable increase of 32%, which is really, really positive for us. And you can see that coming through with the adjusted margin of 17.2%. Moving up by 14.6% is really, really solid and quite an impressive performance by the team. We'll talk about that a little bit later on because there's some other sort of factors that are pushing that forward and pushing that back, and we'll try and give you a bit more context on that. Operating cash flows, again, very healthy at EUR 98.8 million, a positive movement of 36.7%, which is, again, really pleasing for us and good to see is what we need. So that's really, really good. And as predicted, we talked about our leverage that as we did the acquisitions that, that would come down. And we see that, that is coming down despite the fact that we did our 2 biggest deals ever in Q2 and which has been very positive for us. So Healthcare Services being driven by high organic growth and the improvements coming through the fact that we've put so much extra capacity on in this area, the utilization of the assets is starting to be seen. When you start, you put all the staff on, you put all the facilities on, you're ready to take customers. But it takes time for customers to come. And more importantly, it takes time for customers to come back, and we did that in many different places across the world. And Diagnostic Services is really, really pleasing to see their performance. They've had quite a lot of headwinds that have affected them and they're navigating them really well, and I'm really pleased with the team to be able to see them do that. And I note to the bottom about our greenhouse gas emissions that we've had those validated, which is a good part of that journey. So if we forward -- and if we move forward and look at our revenue positions, basically, if you look at the bars and look at the percentages, really good solid growth there, 19.5%, 19.8%, 12.1%, which looks a little bit lower. But again, we need to take into consideration Hungary and the fact that we've got a bigger base. So we're really pleased with that progression, and we're really pleased, most importantly, with the consistency of that. If we look at our revenue by country, there's some slight mix change here. Some of this, again, driven by Hungary. I seem to be saying Hungary a lot and a little bit driven by currency from an Indian perspective. And then revenue by payer, relatively consistent, a little bit of a change in terms of the growth rates. The consumer segment, 58% is a really important part of what we do. And of course, at times with consumers, you'll find people being very active, times being a little bit cautious, and we're watching those particular conditions. As we go to Healthcare Services, Healthcare Services revenue growth of 9.6%, feels really strange to be able to talk about Healthcare Services and see single rather than double digit. But of course, if you adjust that for Hungary, we go back up to 12.4%, which I think is good, steady growth. Revenues at EUR 406.5 million, which is very respectable revenue by country. It's pretty pleasing across the board that you see Romania, 16%, Poland at 17% and India, again, affected by currency. So it looks a little bit different. Strong development in terms of sport and wellness and in our ambulatory clinics in Poland, which contributed to the drive of the revenue in fee-for-service. And we've got good progression in terms of the public revenues that we've got in Romania and some of the Polish hospitals. We launched a new hospital in Hyderabad. And of course, as we launch new capacity, that has an impact in terms of the profitability. Again, we're investing in the staff. We're investing in the facility. We're putting out the capacity before the customers come. And whilst the growth in India is a little bit lower than some people may have expected at 8.8% in local currency, some of this is driven by a conscious change in terms of the way that we're steering the business in terms of having less governmental pay, which puts that down. But our underlying trend in India in terms of doctor recruitment is really, really strong. And that's one of the reasons why we've decided to pull forward the planned hospital for next year into this year because we feel that we've got good momentum in terms of the recruitment. We can take advantage of that, and we can get faster growth. So we'll see that come through in Q4. And again, that's 2 new big hospitals that will go on to the -- on to our network and having those through will have an impact in terms of a little bit of drain on our profitability and margins. One word of caution, we talked about the strong margin. Part of that is created by our funded business where there's been a slower phasing of recruitment of doctors. That happens from time to time. There's nothing that is particularly unusual for us, but we will catch up on that. That puts a little bit of extra power into the margin, which will adjust as we go through Q1 -- Q4 and Q1. And that's one of the reasons why we've talked through that, that might happen over the next coming quarters. Membership is okay. Membership is pretty good. If we look at it from a -- without having Hungary involved, we've got growth of 2%. But at the same time, we want to balance this by sharing with you for the first time the number of relationships we have because you can see our fee-for-service line is much higher now in terms of its percentage of our business. And it's really about relationships as well as what being about memberships for us because if we can establish a relationship, we get people that come to us sometimes funded, sometimes through fee-for-service and sometimes through paying out of pocket. And you've got a mix here of different relationships being funded NFZ, some of our benefit customers for loyalty, et cetera. And we'll continue to publish this number so that you can see how that progresses. This doesn't affect this quarter, but you can see that there was a strike in Andhra Pradesh in India in October. That meant that all the hospitals in that location were not taking inpatient stays for governmental pay. Obviously, that will have a slight effect on us in the fourth quarter, but was probably needed to be able to make sure that the government did pay some of their bills, which can take quite a bit of time to settle. All the indicators on the right-hand side from our Healthcare Services are pretty good and a positive progression from the team. So thank you very much. Diagnostic Services, they continued with their strong momentum across the business. And as I say, I'm really, really pleased with the team. Revenue increased by 17.8%, which is pretty impressive. So well done to them. Organic growth at 12.4%, which is still solid and really good for this segment. Strong demand from fee-for-service, which is very positive for us because that's the big part of our revenue stream. Germany, which everybody has been concerned about, worried about and watching with a close eye. We continue to watch it with a close eye, but the team have navigated that really, really well, and we're seeing increasing volumes there, which is helping us adjust as well as our initiatives to be able to drive efficiency. And overall, we've got an increase in tests, which, again, is quite impressive, and that's really positive for us. So revenue, EUR 191.7 million, very pleasing. If you look at the progression by country, there's strong percentage growth there in each of the countries. So congratulations to the team. And I know Germany is 5%. Considering the reform, I think that's pretty good for them. Margin, great to see some improvement here. We've got operational leverage. We'll continue to get that operational leverage if we continue with the lab growth, very solid number of tests. And again, really pleasing strong and good growth in the fee-for-service segment. You can see at 24%. So overall, pretty good. I'll hand over now to Anand, who will talk you through some of the details of the financials.
Anand Patel: Thank you, John. Good morning, everyone. So pleased to report on another good quarter for Medicover building on the momentum and themes of prior quarters. So as a reminder of those themes, one, we've got double-digit organic revenue growth again; two, margin expansion across all profit measures; three, strong and consistent performance across both business units. We've mentioned previously from John that we've normalized leverage back down to 3.2, so in line with the guidance we've given in prior quarters. And in the quarter, we've also seen an improvement in our ROIC numbers and in our cash. In terms of overall, so from an organic growth perspective, so I'll talk about organic growth to kind of strip out the Hungary effect, and Hungary will obviously impact our numbers in terms of year-on-year growth overall for the next 3 quarters. So organic revenue growth was 12.4%, which is very pleasing. In terms of EBIT, particularly impressed and pleased with that number internally. So we've got EBIT of EUR 42.8 million with a margin of 7.2%, a lot higher than last year. You'll remember in Q3 last year, we did some impairments. But actually, even if you kind of do a like-for-like comparison, putting back in the impairments for want of a better phrase, we still got healthy margin accretion across the EBIT lines. So very pleased with that, and that actually flows through to our EPS pretty well. From an EBITDA perspective, growing faster than revenues, as you can imagine, due to the margin expansion of 260 basis points. So EBITDA at EUR 98.2 million. And finally, as I mentioned just previously, the earnings per share was very strong in the quarter as well. Again, we've seen consistent growth in earnings per share during the year, and we further did that in Q3 as well. In terms of Healthcare, again, 12.4% organic growth, price driving 7.5%, but still strong volume growth as well as you can see. EBITDAaL growth I'll talk about EUR 50.5 million, which is up and margin rate is up 260 basis points year-on-year. I guess the only other thing I'll talk about on this slide, particularly is the loss from the immature hospitals. So you can see that actually the loss in Q3 is EUR 2.7 million. That is the same charge as we had in Q2. But we've seen really healthy underlying performance in the like-for-like hospitals. What has happened in the quarter is that we've opened a new hospital in India, which is additive in terms of making a loss. But actually, there's been a really strong improvement in the flow and profitability build of the other hospitals. And finally, going back to what John's point was with regards to utilizing our capacity, you can see that flowing through in terms of the medical cost ratios coming down as well. In terms of Diagnostics, I think John touched on it, so really pleasing performance again. So again, organic growth of 12.4%. Here, price accounts for 3%. And as you know, due to the German reform, we've got price reductions in Germany. But actually, overall, even in Germany and across the whole of Diagnostics, we've got strong volume growth is what I'd say. In terms of the other measures, I'd say EBIT growth, again, pretty strong in Germany and in total DS. So we grew to EUR 20.6 million with strong margin rate accretion. And the pleasing thing to note in Germany, because Germany is roughly 50% of DS, that actually, as I said, revenues were up, volumes were up despite the margin contraction -- sorry, the price reduction and overall margins in Germany were up year-on-year as well. So with all the challenges, I think the team are doing a really good job in managing that. In terms of other metrics, I've mentioned leverage. We'll talk about guidance for the full year on the next slide. Tax rate is in line with prior expectations. So previously, we've said our ETR will be between 26% and 30%, and we remain in line with that guidance. Strong net cash flow driven by the improvement in margins flowing through into the cash in our business. So we're pleased about that with a really good performance in free recurring cash flow, which I'll talk about in the next slide. But actually, in the quarter, recurring cash flow was 9.4% of revenue, which is a lot higher than last year. And finally, in terms of ROIC, as you can see, 12.3%. You'll remember at year-end '24, we reported a 6.7% number. So really strong improvement through the year. In terms of CapEx, you can see in the quarter, we had spend of EUR 46.3 million. That is 7.8% of revenues. There's a bit of a catch-up you would have seen in prior quarters, but the numbers were lower. So there's a bit of catch-up in Q3. In terms of full year guidance just to manage now, we kind of say that the number will be between 6.5% to 7%, but broadly in line with what we've said previously. We have mentioned that actually there is kind of clear blue water between our free cash flow as we improve that versus our organic growth investment. So that's pleasing to see and hopefully we'll build on that in the future. In terms of the split of CapEx spend, so you can see in the quarter, the lion's share of the CapEx spend was spent in Healthcare Services. We have in the hospital, there's some land. And overall, the medical space we've got at the end of the quarter is 988,000 square meters. And the final slide from me. So in terms of guidance for the full year and our targets that we mentioned previously, our position is unchanged. So obviously, with the quarter to go, I'd hope it would be. So we've previously said we're going to beat the target, and we continue to say we're going to do so. So as a reminder, we will beat the organic growth revenue numbers of EUR 2.2 billion, the adjusted organic EBITDA of EUR 350 million. We will have leverage below 3.5x and you have seen that we're kind of guiding to, that's what we were 3.2x at the end of Q3, and we'll be below 3.5x at the end of the year. And in the bottom corner, you can see the metrics that we gave in terms of EBIT and adjusted EBITDA, and we'll beat those as well. So in summary for me, a really good quarter, and I'll hand back to John.
John Stubbington: Thanks, Anand. So key takeaways. We continue to deliver solid organic growth driven by both divisions, which is really, really good. We've got consistent margin expansion driven by the improved utilization. Customers are coming to users. Customers are coming back. On top of that, we have got a number of efficiency initiatives that are really needed in health care to be able to manage the way that people want to consume more. The maturity in our network can be seen in the hospitals. The fact that we're putting 1 or 2 more on, I think that if you look back at the average losses per hospital, it will probably help you model that as you go forward. Our leverage has normalized, so as promised, as committed to and starting to come back into our guidance. There's some mild headwinds that we're seeing. There's nothing unusual in those. We're commenting on them so that you're aware of them, and we fully expect to be able to navigate through. Thank you very much.
Operator: [Operator Instructions] The next question comes from Julia Angeli Strand from Handelsbanken.
Julia Strand: Can you hear me?
John Stubbington: Yes.
Julia Strand: Yes. So my first question relates to India. So what made you change the mix to a more private segment? Is this just to reflect changed consumer behavior? Or is this strike related?
John Stubbington: No. I think that over the course of our discussions as we've developed things, we've always said that we wanted to get more cash, more insurance and start to manage some of the ROCE to appropriate kind of levels. Everybody knows if you operate in India, the payment cycle from the governmental pay takes a little bit of time. We will -- it's an important part of Indian society to be able to provide these services. So we will continue to provide these services. It's just that as we grow our network and we grow our doctor capacity, we have the ability to change that mix while still being good providers of that service. And we're just seeing the beginnings of that starting to flow through. And that's just affected the mix and therefore, affected the growth. I mean we could accelerate growth very fast by doing much more ROCE. But again, that would affect our cash flow. So it's a conscious decision as we move forward with our plans to accelerate.
Julia Strand: Okay. That's clear. And then on the strike, where do you -- do you think that this strike could come back? Or has this been resolved?
John Stubbington: This is not unusual in terms of the health care community taking action because the government payment cycle can be infrequent and can be lengthy. And sometimes it goes too far. When it goes too far, the people take action. I think we've seen this once before in our time there. So it's not something that happens particularly frequently. This was in one state. So we should point out to one state. I can't remember whether I stated it was in one state, but it's only in one state, Andhra and now is resolved in terms of they're no longer on strike, but it was there through October. So we'll see that being a little bit of a setback for us. It shouldn't be massive, massive, massive, but it's there.
Julia Strand: Okay. Understood. And then just lastly, before I get back into the queue. The EBITDA loss in Q4, should that stay on the same level as in this quarter? Or should it be higher considering you're doing more openings?
John Stubbington: Yes, it's going to be higher. You're talking about -- currently, you see an opening in Q3, but of course, you haven't got a full quarter of that opening in Q3. And then we're going to add on another hospital. And when you put the hospital on, you have a period where you actually recruited the staff before you've even opened the hospital. So you'll see some of those expenses start to come through for the next hospital as well as a full maturity of the new hospital. And whilst the -- we fully expect the other hospitals to do well, I would be surprised if they cover that off. You've now got a good history in terms of this particular line where we shared quite a bit of data. I would imagine that from a modeling perspective, you should be able to put that through your numbers in terms of averages because I think it would be appropriate to use that if you want to guide it.
Operator: The next question comes from Mattias Vadsten from SEB.
Mattias Vadsten: I have a few. So first one, you talked about early indications of a more cautious sort of consumer behavior. I think this needs to be captured a little bit. If you could provide the details, what you're seeing? And more generally in the business, would you say sort of double-digit organic sales growth is still doable as we move into 2026 and the general trajectory for Medicover? That's the first one.
John Stubbington: Yes. I mean we are a little bit more cautious on the consumer line. That's only because we're seeing a bit of consumer behavior in some of our product lines, which is not dramatic, but there's enough there for us to be able to feel that we should share that with you. It's not unusual for us. So we're not sitting here saying we're seeing something that's a massive change that we need to adjust to, but we always have to adapt. So when we see these things, we have to adapt our pricing. We have to adapt our promotions. We have to adapt the way that we push things through. So we'll probably see us dealing with that over the course of Q4, Q1. And as we move longer term, we fully expect that a healthier -- the normal kind of Medicover cycle starts to come through. You asked about double digit. It'd be interesting for us to see, but we'll be around that mark, I would have thought in terms of the performance. We've got the Hungary adjustment, which does affect us whether we like it or not and 1 or 2 other things. So we'll have to wait and see what happens.
Mattias Vadsten: And the next one relates to Germany. So long question short, do you see less competition in that country now? Or is this sort of yet to materialize except that there are fewer actors in the market?
John Stubbington: I've said all the time about reform that there's good and bad things about reform. Reform kind of like drives you to do more efficiency, and we've done all that kind of thing and reform cuts off the tail. And as it cuts off the tail, bigger providers are there. I still think it's too early in the cycle to be able to see all of that. We're in the third quarter of this reform. But what you are seeing is an increasing volume. If you're seeing those increasing volumes, I think that kind of indicates the shift in the market conditions that we kind of expected to happen related to what you're intimating. But I think in terms of doing an analysis that demonstrates statistically that, that has happened, it's a bit too early.
Mattias Vadsten: And jumping on to my next question relating to margins. If we look on the lease adjusted EBITDA, EBITDA margin, it's up by a significant 2.1 percentage point in the first 9 months, 2025. I appreciate this is not the nature of the business to be able to perform each year. So I fully understand it will moderate. I'm just after what you mean by this comment. And then if we look into 2026, just throwing out something like 0.5 percentage point margin expansion. Is this something that is doable? I mean I appreciate that this rate that you've shown this year is not possible to sustain. So what do you mean by those comments?
Anand Patel: I'll start and I'll let John finish. So look, I think what we have seen consistently this year is margin expansion, let's say, in excess of 150 basis points per quarter. Yes. So we kind of would assume that's a sensible number to aspire to in Q4 at the very least, I guess, in terms of the short term. So we saw no underlying changes in the momentum of those themes. There's still capacity that we can fill in terms of the space. So John said previously, I've said previously, there's still clear headroom in terms of us upping our utilization levels, and we can still maximize those facilities. I guess in the short term, it depends on your take on the moderation numbers. So John is talking about a strike in India that's kind of happened in Q4. That will moderate revenues naturally, which means the flow-through in Q4 won't be as much as it was before and a slight change potentially in behavior from a consumer perspective. So does that mean that 0.5% margin rate accretion in 2026 is a sensible number? I think it's probably a little bit more, but we're just being cautious in terms of we see kind of a little bit more headwinds, I guess, in the short term rather than in the longer term over 2026. We've still got ample opportunity to grow our margins is what I'd say.
John Stubbington: Yes. To add that, I don't think that we -- in terms of talking about the future, we don't give future guidance other than what we've given. Our underlying model is still strong. We're just seeing 1 or 2 little signs, mild headwinds and little operational things that we need to sort out. I don't think that affects our underlying -- the underlying strength of our overall model. And one of the great things about Medicover in terms of our model is our diversity. And because of our diversity, we can do things like India and move everything on. So the business is sound.
Mattias Vadsten: I think that is a very good answer. I will probably squeeze in one last one. I mean price health slightly less in Q3 vis-a-vis Q2. This is a development we have expected for some time. Will this development continue in Q4 and into 2026 with less price contribution?
John Stubbington: Yes, I think we've got a good price volume mix in our divisions. It's slightly different at the moment in the current cycle. There's higher price in Healthcare Services and lower price in Diagnostics, higher volumes in Diagnostics, lower volumes versus Diagnostics and Healthcare services. That's kind of a natural cycles that change over periods of time. We've had, as you know, going back in the short-term history, quite a lot of inflationary factors that have been higher than a normal kind of cycle. And I think all you're seeing is that those inflationary factors are coming down. So you've seen that in the price impact. And it's health care. Health care has a hell of a lot of people that want health care, and there's a limited amount of people that can deliver health care. And those limited amount of people will always be saying, well, I'm adding value to society. You need to give me to pay me what I'm worth and those pressures will always be there. So I would expect that we will come down and then those pressures will hit again, and we'll start to adjust as appropriate. You know as a team, our position when it comes to pricing. We feel that we're really good value for customers. We believe that we deliver a really good service considering the prices that people pay. And to be able to do that consistently, we have to be able to adjust our pricing so that the medical profession and the people delivering this get an appropriate pay to be able to stay with us to deliver this for the long term consistently.
Operator: The next question comes from Kristofer Liljeberg from Carnegie.
Kristofer Liljeberg-Svensson: Two questions, I think. Coming back to your comment here about margins in the Q4. If I phrase it like this, you have the phasing effects, hospital opening strike, et cetera. So maybe if you could give us some more help how much lower margin we should assume in Q4 than third quarter? Do you think it will be more like what you saw in Q1 or somewhere between Q1 and what you have had in the last 2 quarters?
Anand Patel: Yes. I think Q3 is clearly an outlier, I would say. Sometimes you have a great quarter. I think somewhere between Q1 and Q2 are probably sensible in terms of an assumption in terms of margin rate accretion year-on-year for Q4.
Kristofer Liljeberg-Svensson: Great. And also coming back to a previous question here, growth outlook for next year. I noticed that you mentioned Hungary being a negative impact, of course. But if we were to adjust for that, would that make you more confident to be able growing double digits in 2026 over 2025?
John Stubbington: Yes. I think we're not sitting here sending a big message that's saying our business has fundamentally changed. We -- I've sent a message, which is just saying over the next couple of quarters, there's a few things that we just need to navigate. But I don't think that affects our long-term position. So we're a growth company. Everybody knows we're a growth company. We're a much bigger company now, of course. So those percentages are tougher to get. But I would fully expect us to over that period, be in a zone that people are used to.
Anand Patel: Yes. So just to add to that, we've always said we're very focused on organic growth, and that clearly excludes acquisitions, that clearly excludes disposals. So if you look at the organic growth numbers, which excludes Hungary for Q3, the numbers are 12.4%. And we'll carry on reporting against our organic growth numbers. And I think rather than look at the total growth, which is a bit muted in the month, as John says, nearly 10%, 9.6% for Healthcare Services, the organic growth number is more pertinent. That's all we're saying.
Kristofer Liljeberg-Svensson: Okay. Good. Could I -- just one more. As CapEx investments are going up here a bit again, how should we think about depreciation as a percentage of sales? It has trended down somewhat from the peak 2 years ago. Will it continue down or even out at current levels?
Anand Patel: Yes. So look, I'm not going to talk about next year's depreciation charge because at some stage, we'll give guidance for 2026 CapEx, which we're not going to do today. I think I mentioned earlier that our CapEx this year will be 6.5% to 7%. So there'll be some spend in Q4. You can do the math on that. But there will be minimal flow-through from that. I would thought it's just a timing effect from '25 into '26, and we'll talk about next year when we're ready to talk about 2026 and future targets.
Operator: The next question comes from Kane Slutzkin from Deutsche Bank.
Kane Slutzkin: Just on target, just wondering the sort of '23 to '25 target is obviously quite stale now. I'm just wondering, will you be unveiling sort of fresh midterm targets maybe for '26 to '28 when you report year-end? And then just can you provide some color on the acquired businesses, how they have been performing and the synergies you may or may not be getting there?
John Stubbington: Yes. I mean we've never -- we've been pretty consistent about guidance saying that we want to hit the numbers that we need to hit first. Once we've done that, we'll make the decisions about when and where we issue the new guidance, but we're fully aware that everybody expects us to do so. So we hit the number and then we'll share. So that's the same as we said in the past 2 quarters, I think. And then in the acquired business is very positive for us, a little bit slower with SYNLAB because it's a bit more of a difficult integration that you have to do, whereas the Healthcare Services side in terms of CityFit it's almost immediate. So the fact that people were going to -- going to their gym locations and now going to the same locations that we own the business makes the synergy come almost from day 1. So that's performing really, really well. SYNLAB, there's a number of countries there. So as you would expect, as you're doing different things in different countries, some of them have gone really, really well. Some of them take a little bit more time. But the maturity of that will start to come through. There's nothing that we're sitting here saying that is a negative from these businesses perspective. It's a positive contribution to our model and the team are doing well in terms of pushing forward to get the synergies that we planned with just a slight delay.
Anand Patel: I guess the only thing I'd add to that, if you look in the Q3 report, what we have done somewhere at the back is split out the revenue and the net profit from the acquisitions group together. And what you can see is actually if you calculate the margin rate, which I'm not going to do for you, it's accretive versus company levels, which we said it would be anyway. So we're pleased. I said there's always more we can do. We haven't split out in the report, just to be very clear. But you can see in the pack that yes, it's contributing on a healthy basis to our business and is margin accretive.
Kane Slutzkin: Great. Sorry, just one last one. Could you just remind us where you are on the potential listing of the Indian business? Is that still in play?
John Stubbington: Yes. I mean we've -- I mean, your questions are going to get more and more intense as we go through each quarter from this point forward. We -- December 12, I think, announced that we would explore this. At that stage, we said it would take up to 2 years. Obviously, we're approaching the anniversary of December 12. So people will be expecting more. It's one of those things that it takes a bit of time in India. We're doing our prep work. The team are doing well on that, pushing forward. Now we need the performance to accelerate a bit. We're at the business end of that. So we've had a few setbacks, as everybody knows as we've gone through the year. But as I said earlier, our underlying trend of recruitment in India has been strong, and that's one of the reasons why we opened Sangeeth. It's one of the -- sorry, one of the reasons we opened the hospital in Q3. One of the reasons why we have pushed forward opening another hospital into Q4, which originally was planned for 2026, which again, as a consequence of that, will create some losses in our Q4. But we think it's the right thing to do because we've got some good momentum. So strike doesn't really help us again. Currency doesn't really help us again in terms of positions, but nothing has changed from our perspective. As soon as it does, we will inform you.
Operator: The next question comes from Bram Buring from Wood.
Bram Buring: Most of my questions have been answered, but I wanted to ask about admin costs in the quarter. I was a bit surprised to see that they were down Q-on-Q. Is that -- is there something specific behind that? Or should we continue to expect admin costs to be closer to this 3Q level than what we've seen more recently?
Anand Patel: No, no, I would assume it's a seasonality thing. There's nothing specific. We did admin costs in Q3 per se, I would say. So I would look at the 9-month number and assume that's a better trend for the full year.
Operator: The next question comes from [ Bola Dimmer from SurePath ].
Unknown Analyst: Two questions on India, please. You mentioned you're changing the share of this private pay in India in your revenue. Can you tell us what is your current revenue split between private pay and public pay in India? And what is your target split in this regard?
Anand Patel: Yes. So look, we don't disclose that information. I think the one thing I would say is that the reason -- one of the reasons for Medicover being totally successful in the past and present is due to the diversity that John mentioned. So it's good to have an even split of fee-for-service versus insured versus public pay. So that means that when one area has a downturn, then the other kind of has an upturn normally. So we don't guide on that, but we're building the right split for us to make sure that we can not be subject to any specific area.
Unknown Analyst: Okay. Also, when I look at your peers, which operate in the similar regions in India like Aster DM or KIMS, their revenue per bed is twice higher than yours. Could you share, I mean, your thoughts on the reason behind this big gap? Is it just the question of maturity effect or location or actually the split between public and private?
John Stubbington: Well, you've kind of answered your own question, which is really good in terms of there is maturity. So you tick on maturity and there is location that takes into a factor. I mean, if you go back in time, I think we have shared and said that one of the approaches that we've got for India is to try and do more of our operations in Tier 1 cities and more of our operations in larger hospitals. If you're in Tier 1 and if you're in larger hospitals, you will find that the types of things that you can do are more comprehensive and the pricing of being in a Tier 1 city versus 2 and 3 is very, very different. And one of the things that people should find attractive about us as we go through the IPO is the fact that we're behind, and therefore, that's going to mature up. So you kind of answered your own question. I'm just confirming what you said.
Unknown Analyst: Okay. Great. And the last one on the CE, I assume. So you mentioned this more cautious consumer. Could you, I mean, kind of elaborate, is this slowdown mostly visible in the funded private pay or public pay?
John Stubbington: No, no. It's very much related to out-of-pocket fee-for-service line where people are deciding themselves whether they pay or whether they don't pay. We're seeing some signs in certain lines, not in all lines, some are going really, really well, really, really strong. And we've shared it with you so that you're aware of it. And from our perspective, it isn't anything that's particularly fantastically new that we haven't seen in our 30-year history or I haven't seen in my 15-, 16-year now history with Medicover. It's just that we -- when this happens, we have to get a little bit more creative. We have to repurpose a bit and we have to do things with our pricing and our proposition, which we will do. But usually, if that trend kind of continues, it will take -- we'll probably see a little bit of softness maybe in the Q4, Q1 as we move forward. But from a long-term perspective, from our business perspective, we have got a really solid business with a very broad base of propositions that we offer to people. This is not something that is a major concern for us over the long term. Our business hasn't fundamentally changed. We've just shared a little bit more information with you.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any written questions or closing comments.
Hanna Bjellquist: Thank you very much. We have a few questions in the chat. And the first one is how do you see the outlook for 2026 for the Polish market in context of the savings announced by the ministry. Apart from the impact on public revenues, do you see any impact in other areas, laboratory diagnostic subscription?
John Stubbington: Yes. There's going to be a lot of noise from the ministry currently. There's a new Minister of Health. She's looking at lots of things and has got a good track record in some of the things that she's done. So there's going to be lots of noise of different statements and different positions that are taken. It takes a bit of time usually once a statement said, even if they then say they want to do it, it takes a little bit of time to filter through into market conditions. Also, I think some of this was announced this morning or just recently in terms of looking for savings within the NFZ spend. Versus competition, we, in terms of our mix, have less than most of our competition because our focus has always been on other lines not related to governmental funds. So even if there is adjustments there, we won't be affected as much as our competition. And historically, we've always found ways if the government are paying less, the underlying demand is still the same. You can't say to yourself, I haven't got a health issue. You can't ignore it, but often that means that the health issue gets bigger. So these kind of things will happen. We're used to them happening. I don't see it as being a fundamentally big shift for us.
Hanna Bjellquist: I think we have been through mentioned about the consumer behavior. We have also talked about India and the mix. Could you remind us about the background of Hungary?
John Stubbington: Yes, it's just a historic position for us. We withdrew from Hungary a long, long time ago. And when we did, we offered -- we carried on with a partnership that we had together from an insurance perspective that we always knew would come to an end. They've scaled considerably. And as a consequence of that, wanted to move in a direction where we were no longer the partner, and we've always planned for that. So it's been a planned position, probably lasted longer than we thought and was a very fruitful partnership with a really good team, and we wish them the best of luck, and it helps us because now we've got more management time to focus on other opportunities that we have. So it's a good thing for us. We mentioned it a lot today because the figures are affected by it. But as we go forward, that will wash out, and we'll just move on.
Anand Patel: And from a cost perspective, all these costs were dealt with in Q2. So there's no impact in Q3 numbers. And actually, it was, let's say, a small profit as a consequence of the transfer.
Hanna Bjellquist: And we have talked about the Indian strike, but we do not want to give you any numbers, state any impact on the revenue and EBITDA, but we have mentioned it before.
John Stubbington: Okay. Well, thank you very much, everybody. Today, we shared a little bit more in terms of some of our thinking around Q4, Q1. And from a 2026 perspective, we are a really solid, strong business. If you look at what we've delivered in Q1, Q2, Q3 this year, they're really exciting numbers. They're really positive numbers. There's a degree of consistency. You can see our operational leverage coming through. A bit of that is going to be affected by the fact we're doing new openings. A bit of that is going to be affected by the consumer caution we talked about and a little bit by the need to increase supply for our funded customers, which is absolutely the right thing to do. We have to look after our customers. They come to us for health care, and we intend to deliver good health care. And if that means we need to invest more, we will do it, which is great. So we're on a good trend. We anticipate that trend will continue, and we look forward to sharing how we do in Q4. Thank you very much.